Operator: Good morning. My name is Audra, and I will be your conference operator today. At this time, I would like to welcome everyone to the SolarWinds Q3 2022 Earnings Call. Today's conference is being recorded. [Operator Instructions]. At this time, I would like to turn the conference over to Tim Karaca. Please go ahead.
Tim Karaca: Thank you. Good morning, everyone, and welcome to the SolarWinds Third Quarter 2022 Earnings Call. With me today is Sudhakar Ramakrishna, our President and CEO; and Bart Kalsu, our CFO.  Following prepared remarks, we will have a question-and-answer session. This call is being simultaneously webcast on our Investor Relations website at investors.solarwinds.com. On our Investor Relations website, you can also find our earnings press release and a summary slide deck, which is intended to supplement our prepared remarks during today's call.  Please remember that certain statements made during this call are forward-looking statements, including those concerning our financial outlook, our market opportunities, our expectations regarding customer retention and our evolution to a subscription-first mentality. The impact of the global economic and geopolitical environment on our business, the timing of the phases of our subscription evolution, our gross level of debt and the impact of cyber incidents and cybersecurity generally on our business. These statements are based on currently available information and assumptions, and we undertake no duty to update this information except as required by law. These statements are subject to a number of risks and uncertainties, including the numerous risks and uncertainties highlighted in today's earnings release and our filings with the SEC. Copies are available from the SEC on our Investor Relations website. We completed the spin-off of N-able on July 19, 2021, and accordingly have included the results of the N-able business as discontinued operations for historical periods.  Therefore, the financial results presented on this call reflect SolarWinds as a stand-alone business and do not include any contribution from the N-able business. Furthermore, we will discuss various non-GAAP financial measures on today's call. Unless otherwise specified, when we refer to financial measures, we will be referring to the non-GAAP financial measures. A reconciliation of the differences between GAAP and non-GAAP financial measures discussed on today's call are available in our earnings press release and summary slide deck on the Investor Relations page of our website. As a reminder, beginning with the first quarter of 2022, we no longer adjust our revenue for the impact of purchase accounting.  For the third quarter of 2022, non-GAAP total revenue is equivalent to our GAAP total revenue. Finally, we note that the financial results discussed on today's call and in our earnings release are preliminary and pending final review by our external auditors, and will not be final until we file the quarterly report on fall 10-Q.  With that, I'll now turn the call over to Sudhakar.
Sudhakar Ramakrishna: Thank you, Tim. Good morning, everyone, and thank you for joining us today. As always, I'd like to start by thanking our employees, customers, partners and shareholders for their ongoing commitment to SolarWinds. I'm extremely proud of all our team's accomplished during the quarter, considering a challenging macro environment.  Let me start with a few comments on our third quarter 2022 results. We had several highlights, including continued subscription revenue growth in line with our subscription-first strategy; continued execution on customer retention; healthy EBITDA margins, reflecting our commitment to expense and operating discipline; expansion of our route to market with the announcement of our Transform Partner Program; strong adoption of hybrid cloud observability representing the superior value that we believe we deliver to customers; continued federal business execution demonstrating our strength in and commitment to the public sector; and major product announcements including key milestones in our observability evolution.  I'll touch on some of these before turning it over to Bart for more color on the quarter as well as our financial outlook for the balance of the year. In Q3 2022, we delivered revenues of $179 million, down 1% year-over-year. Excluding an approximately $1 million currency headwind since we provided guidance, revenue, assuming foreign currency exchange rates used in our previously issued outlook, would have been within our guidance range, and on a constant currency basis, we delivered a 1% year-over-year growth.  I'm excited to report that in Q3, our in-quarter maintenance renewal rate was 91% and our trailing 12-month renewal rates are now at 91%. Both these metrics were impacted negatively by currency headwinds. But even with that, I'm happy to report the strong execution. I attribute these results to the commitment of our team, the relevancy of our solutions, the resiliency of our business model and the trust our customers place in us.  We continue to make demonstrable progress with our subscription-first strategy and delivered third quarter subscription revenue growth of 31% year-over-year. By shifting to a subscription-first strategy has resulted in some total revenue headwinds, we continue to believe it is the right strategy for our business as we focus on growing annual recurring revenues to over $1 billion in the coming years.  The improving bookings mix, and conversions from maintenance to subscription, lay the foundation for even more predictable revenue and the opportunity to expand our lifetime value with customers. We ended the third quarter of 2022 with 882 customers who have spent more than $100,000 with us in the last 12 months, an increase of 12% over the comparable period in the previous year. More and more, we are helping customers reduce tool sprawl, achieve comprehensive visibility across multi-cloud environment, eliminate alert fatigue and accelerate their digital transformation, leading to larger deal sizes. Adjusted EBITDA was $70.3 million, representing an adjusted EBITDA margin of 39%, in line with the outlook we provided.  Now I'd like to take a step back and reflect on the strategy we laid out at our Analyst and Investors Day 1 year ago, and what we have accomplished since then. Last year, we talked about our retain, evolve and growth strategy. We committed to our customers and to the industry that we will retain the best of what made SolarWinds what it is today, evolve with our customers' needs and grow together in our mission to help customers accelerate their business transformation through simple, powerful and secure solutions designed for hybrid and multi-cloud environments.  I believe our portfolio and execution enable us to deliver the best time to value, best time to detect issues and the best time to remediate issues in our customers' multi-cloud environment. We aim to be the best at improving our customers' security, productivity and costs. Our portfolio is broad, and we believe our addressable market is large. We are making strong progress in our database performance monitoring and service management parts of the business.  But today, I'll focus on our evolution to observability and its significance to our future growth. A key element of our strategy is transitioning from monitoring to observability solutions to address the productivity, cost and complexity challenges our customers increasingly face. We made tremendous progress during Q3, and many of you joined us for our first-ever SolarWinds Day event 2 weeks ago, where we made exciting announcements. First, we unveiled SolarWinds' observability based on our SolarWinds platform which will be the basis for all future solutions. This full stack Software-as-a-Service solution is built to unlock the productivity of DevOps, SecOps, cloud ops and IT ops professionals. We also announced an updated version of our SolarWinds hybrid cloud observability solution less than 6 months after its initial introduction.  Hybrid cloud observability now features enhanced anomaly detection capabilities powered by artificial intelligence and machine learning while continuing to enable SolarWinds customers to migrate from on-premises to SaaS at their own pace and while making the most of their IT investment.  Traditionally, our business focused on tools, which monitored network systems, applications and databases. However, hybrid and multi-cloud IT environments are becoming increasingly complex and more challenging for customers to manage. Our observability solutions are designed to solve this problem by providing comprehensive visibility into the complete environment in both public and private cloud, to expedite anomaly detection and resolution.  SolarWinds was built on a foundation and commitment to providing customers with simple, secure and value-based solutions to help them digitally transform their companies. These latest announcements reinforce our foundational presence. Another element of our retain, evolve and growth strategy we talked about at last year's Analyst and Investor Day was expanding our customer reach and importantly, growing our partner ecosystem. To that end, we announced the launch of our SolarWinds Transform Partner Program last month. Transform represents our enhanced focus on channel growth and development, and we believe it will improve the way we partner with technology distributors, value-added retailers, global system integrators, managed service providers and cloud partners across the globe. We are excited to strengthen our relationship with our partners in our shared vision to help customers accelerate their business transformation. We also made key leadership hires to support our channel growth, including Chad Reese, who joined SolarWinds during the quarter as our President of Americas Sales and Global Channel. Chad brings 25 years of technology industry experience, serving in leadership positions at IBM and most recently at VMware.  Now I want to take a moment to address the macro environment. Amongst others, one thing that has stood out to me during my tenure at SolarWinds is the resiliency of our business model and the stickiness of our solution, particularly during challenging periods. We believe our highly cost-effective solution, diversified customer base, compelling value proposition and high-velocity transaction model enable us to operate successfully through challenging macro environments. This is reflected in our consistently strong customer retention as reflected by our strong renewal rates. In addition, although we continue to see healthy demand and commitments from our customers, like many of our software peers, we did experience some delays in deal closures during the quarter, particularly in Europe.  We'll continue to monitor the environment closely but we remain confident in our long-term opportunity and are sharply focused on executing on our strategic priorities. We are and always have been focused on our capital allocation and expense management. We continue to seek to balance growth and margin expansion.  Our management team has led companies through previous downturns and we intend to diligently manage costs across our businesses. These attributes remain a foundation of who we are. And over the years, we have built -- we have worked hard to build an even sturdier business model on this foundation.  With that, I will turn it over to Bart to expand on our financial performance and to provide an updated full year outlook. Bart?
Barton Kalsu: Thanks, Sudhakar, and thanks again to everyone joining us on today's call. I'd like to start by reminding everyone of our 2022 strategic focus around growing with a subscription-first mentality.  With this, it is important to emphasize that our subscription transition will be multifaceted. The first phase of the transition entails selling subscriptions of both our existing on-premises products and our hybrid cloud observability product. The second phase of the transition begins with the recent launch of our SaaS observability solution. It is our belief that these 2 models of subscription growth will persist in our business, and our overall focus is to grow subscription ARR while exercising operating discipline. Our third quarter results reflect our ongoing progress with this transition and represent another quarter of execution of our strategy.  Turning to the numbers. We finished the third quarter with total revenue of $179.4 million, which is a slight decline compared to the prior year, and below the total revenue range of outlook we provided of $180 million to $185 million. Total revenue, assuming the foreign currency exchange rates used in our previously issued outlook, would have been $180.3 million and within our guided range. Like other companies with foreign currency exposure, we felt the impact of the decrease in the value of the euro compared to the U.S. dollar.  On a constant currency basis, our total revenue would have been approximately $184 million, which is a slight increase over the prior year. We ended the third quarter with total ARR of $623 million, roughly flat compared to the prior year, and on a constant currency basis, our total ARR would have represented an increase of approximately 2% over the prior year.  Our subscription ARR as of September 30 was $159 million, which is an increase of 23% year-over-year. This growth is mainly due to the execution of our subscription-first strategy as well as the conversion of a portion of our maintenance base to the hybrid cloud observability solution.  Digging into the revenue details, our third quarter subscription revenue was $42 million, up 31% year-over-year. Our subscription revenue growth reflects the ongoing success of our subscription-first efforts. The transition to a subscription-first strategy creates headwinds in the current quarter total revenue. However, we believe that an increasing percentage of new deals made on a subscription basis will result in a higher recurring revenue in the long term.  Maintenance revenue was $114 million in the third quarter, which is a decrease of 4% from the prior year. As we have discussed recently, our maintenance revenue has been impacted by the conversion of a portion of our maintenance customers to subscription as well as the lower euro to U.S. dollar conversion rate in 2022 compared to the prior year. Our maintenance renewal rate is at 91% on a trailing 12-month basis as well as our in-quarter rate for the third quarter. These rates are consistent with our historical performance and both are impacted by currency headwinds. We believe this is a testament to the loyalty of our customer base and our focused customer retention and expansion efforts over the past 12 to 18 months. Note that as we convert maintenance customers to subscription arrangements, we will exclude those customers from the renewal rate calculation.  For the third quarter, license revenue was $23 million, which represents a decline of approximately 22% as compared to the third quarter of 2021. Keep in mind that our new perpetual license sales performance will continue to be impacted by our subscription-first focus. As noted previously, our increased sales of subscriptions offsets the decline in license revenue in the quarter.  Earlier in the year, we talked about how our federal customers are to reach spending decisions. And we are pleased that we saw improved sales performance from our federal and public sector customers in the third quarter compared to a year ago. We finished the third quarter of 2022 with 882 customers who have spent more than $100,000 with us in the last 12 months, which is a 12% improvement over the previous year. This marks the third consecutive quarter with double-digit growth in this metric. We continue to supplement our traditional high-velocity low-touch sales approach with the targeted efforts to build more strategic relationships with our enterprise customers which we detailed at our Analyst and Investor Day 1 year ago.  I'm also pleased to report that we delivered another quarter of strong non-GAAP profitability. Third quarter adjusted EBITDA was $70.3 million, representing an adjusted EBITDA margin of 39%, which is in line with our outlook for the quarter even as we continue to invest selectively in our business.  Excluded from adjusted EBITDA in the third quarter are onetime costs of approximately $10.8 million of litigation and governmental investigation costs and other professional fees related to the Sunburst cyber incident. We expect onetime cyber incident-related costs to fluctuate in future quarters, and these onetime cyber costs are difficult to predict.  Turning to our balance sheet. Net leverage at September 30 was approximately 3.9x our trailing 12 months adjusted EBITDA. Our cash, cash equivalents and short-term investment balance was at $493 million at the end of the third quarter, bringing our net debt to approximately $1.1 billion.  In September, we made a voluntary debt prepayment in the amount of $300 million. Our debt matures in February of 2024, and we expect to make an additional payment to further reduce our level of gross debt in parallel as we work on a potential refinancing.  I will now walk you through our outlook before turning it over to Sudhakar for some final thoughts. I will start with our fourth quarter guidance and then discuss what that means for the full year. We arrived at our guidance taking into account the macro environment, FX headwinds and the impact of our subscription-first business model transition.  For the fourth quarter, we expect total revenue to be in the range of $178 million to $183 million, representing a slight 3% year-over-year decline at the midpoint. On a constant currency basis, revenue at the low and high end of the range would be approximately $5 million higher, and it would represent a range of 2% decline to 1% growth year-over-year. Adjusted EBITDA margin for the fourth quarter is expected to be approximately 38% to 39%. Non-GAAP fully diluted earnings per share is projected to be $0.23 to $0.25 per share, assuming an estimated 162.2 million fully diluted shares outstanding.  And finally, our outlook for the fourth quarter assumes a non-GAAP tax rate of 25%, and we expect to pay approximately $9.8 million in cash taxes during the fourth quarter. While our business model has proven to be resilient during challenging economic conditions, and we remain confident in our business transition, we are lowering our full year guidance. This is primarily driven by our cautious approach that macroeconomic conditions could deteriorate further and FX headwinds may continue. We are appropriately accounting for the fact that we remain early in our subscription transition.  For the full year, we now expect total revenue to be in the range of $710 million to $715 million, which is a slight 1% year-over-year decline and compares to prior guidance of $715 million to $725 million. On a constant currency basis, our total revenue guidance would be $725 million to $730 million, or growth of 1% to 2% year-over-year. Adjusted EBITDA margins for the year are expected to be approximately 39%, which is consistent with the guidance we provided last quarter. While we continue to manage our expenses, we remain focused on our product road map, robust core execution and subscription-first strategy.  Non-GAAP fully diluted earnings per share is projected to be $0.87 to $0.89 per share, assuming an estimated 161.7 million fully diluted shares outstanding. Our full year and fourth quarter guidance assumes a euro to dollar exchange rate of 0.97. Finally, when you review our GAAP financials, you will notice an additional impairment of our goodwill, which resulted in a $279 million noncash charge in the third quarter. We determined this impairment was appropriate in light of the current macroeconomic environment and the continued deterioration in the equity markets. We are happy to announce that last week, we agreed to settle our securities class action lawsuit pending in the Western District of Texas for an amount that will be covered by insurance. While we still have ongoing government investigations related to cyber matters, and we'll continue our approach of transparency and collaboration, having resolved this litigation will enable the company to focus on our strategy. You can find a more detailed update on our litigation and government investigations in our 8-K filed today.  With that, I'll turn the call back over to Sudhakar for his closing remarks.
Sudhakar Ramakrishna: Thank you, Bart. The midpoint of the outlook Bart provided still represents year-over-year growth on a constant currency basis, which reflects our continued belief in the relevance of our solutions, the execution ability of our teams and most critically, that trust our customers and partners place in us. I'm very pleased with the momentum building for our new innovation, and I'm confident as ever in the long-term trajectory of our business.  As we look to Q4 and to next year, I'd like to share 3 key near-term priorities for us. First, we have a robust renewal business with over 90% renewal rate. We remain very focused on customer retention and expansion efforts, as we have been for the past 18 months. Second, we continue to aggressively seek to drive subscription adoption across our business. While this has resulted and will likely continue to result in some variability in our reported revenue, the accelerated shift to subscription is consistent with how our customers want to consume our products, and a key to our long-term strategy to achieve $1 billion in ARR at mid-40s adjusted EBITDA margins in the coming years. And third, we will continue to exercise expense discipline in an increasingly challenging macro environment.  As we look to 2023, we expect to continue to look for opportunities to invest selectively, to manage expenses tightly and to improve our operating margins. We have an experienced management team, and we have led companies through many economic cycles.  I'll conclude again by thanking our employees, partners, customers and shareholders for their commitment to SolarWinds. Bart and I will now be happy to address your questions.
Operator: [Operator Instructions]. We'll take our first question from Terry Tillman at Truist Securities.
Connor Passarella: This is Connor Passarella on for Terry. First one, I'd love to just dig a little bit deeper into federal this quarter. It seems like it was a pretty nice quarter in Q3, their busy season. Just curious on any important trends you saw amongst offerings or product adoptions during the quarter for these customers and maybe how the shift to SaaS for federal has stacked up against enterprise. Just any color there would be helpful.
Sudhakar Ramakrishna: So thanks for your question. On the federal side, as Bart mentioned and I highlighted, we had good growth in Q3. This is a result of not just like one quarter of activity. As you know, we have continued our engagement with our federal customers for a long time and in particular, for the last 2 years, and look at the quarter results as a further, call it reflection of the confidence that the federal customers have in us and broadly speaking, public sector because we did well across the entire public sector, fed and SLED last quarter.  A combination of factors, I would say. One is I keep highlighting the stickiness of our solutions and the relevance and the value that we deliver to customers. 2 is the execution of our overall public sector teams in terms of engaging with customers, reaching out, supporting them through, call it, challenging times and building pipeline. So this is a trend that I expect to continue to improve as we move forward as well.
Connor Passarella: Perfect. That's helpful. Maybe just as a follow-up. As you think about international markets like Europe, it seems that there's still a continuation of longer sales cycles over there. How should we think about the pipeline in Europe and maybe the return of those deals as you move into next year?
Sudhakar Ramakrishna: Absolutely. Yes. Europe, with regards to the foreign exchange issues, you obviously know them all, so I'm not going to belabor that except to highlight that it did have an impact on our reported revenues. With regard to demand as it relates to pipeline generation, the demand has been strong across all regions, Europe included.  That being said, due to, let's call it, local conditions, be it in Southern Europe or in Central Europe, some deals get pushed, which is going to happen in every business almost in every quarter and particularly accentuated, let's say, in these environments. But at the same time, the trajectory of demand is on the up, and we are managing our risk across the business in terms of deal closure rates. The beauty of our company, I would say, is we have a very large part of our business, that's a transaction, high-velocity business, and we are increasingly supplementing it with partner activity and call it the high-touch part of the business.
Operator: We'll move next to Matthew Hedberg at RBC Capital Markets.
Simran Biswal: This is Simran on for Matt Hedberg. My first question is about with the continued pressure, can you give us any update on SME spending? And if there continues to be heightened scrutiny on deals over there?
Sudhakar Ramakrishna: I'd say a lot more of the scrutiny happens to be in, call it, the upper mid-market and enterprise. The SME segment, typically in these environments and especially with the cost effectiveness of our solutions, continues to be more robust, quite simply because of the base of customers that we have. And so customer concentration is really, really low. And unlike, let's say, a pure-play enterprise vendor, we are very broadly diversified across a large base of customers. So I wouldn't say that there's anything particularly soft about SME itself.
Simran Biswal: Okay. Got it. And then also, you recently announced the launch of SolarWinds Observability. How has that initial response been? And what would you say are the key benefits to that platform?
Sudhakar Ramakrishna: Absolutely. It's been a little over 2 weeks, I would say, since we launched it. The initial response from, call it, a pretrial standpoint with customers has been very positive and likewise with analysts as well. We recognize that this is going to be a journey of evolution from monitoring to observability. So don't look at it as we stop what we are doing and then shift everything over to this, as much as, it's a continuum for customers as they deploy multi-cloud environments as they think about evolving from premises to the cloud. And so the advantages that we provide, I'll state them quite simply, are: one is that we are the only vendor that provides them a full continuum from premises to multi-cloud environments, number one; number two is that we provide the same levels of simplicity and cost effectiveness, ease of use that we have always been known for, and we are able to deliver the best full stack capabilities. By that, what I mean is a combination of network system application and database observability, including security observability, on the same platform. So continued focus on cost effectiveness, continued focus on ease of use, ease of deployment, and continued ability to give them full visibility to their entire environment.
Operator: We'll take our next question from Patrick Schulz at Baird.
Patrick Schulz: Congrats on a great quarter. I guess first, it sounds like your partner strategy is just continuing to evolve. So I'm just wondering if you could talk a little bit about how you see the partner ecosystem progressing in light of the current macro conditions. And with the recent product announcements you had at SolarWinds Day, how important is that partner ecosystem and you look to bring new solutions to market.
Sudhakar Ramakrishna: Absolutely. Again, thanks for your comments and questions. First, I'll -- let me start with, call it the high end or higher end of the customer segment that we've been reaching out. The velocity of the transactional side of the business has always relied on partners. And so think of this as amplification of it with both traditional value-added resellers as well as MSPs.  And now coming to the new products that you mentioned, the focus has been to work with large global system integrators. The relevance of us to them is only increasing. We have had very strong and close relationships now building with the global system integrators, where they're able to put their entire sales teams to work and integrate our solutions into their offerings and help us participate in larger digital transformation initiatives.  The reason for highlighting that for -- from our perspective is we are the technology supplier in this overall equation. That's a market that we traditionally have not accessed, quite simply because it also tends to be longer sales cycles and more expensive. But having GSIs on our side is going to help us reach better through the Transform program and also do it in a cost-effective manner. So I'm very excited about our opportunities in the broader enterprise space as we digitally transform customers with these solutions. To date, we did not have those solutions, but now we do. And we also now have the relationships.
Patrick Schulz: Great. That's very helpful color. And then just a quick one on renewals. Just given the ongoing macro uncertainty, how should we be thinking about the renewal level? Is the low 90% range sustainable even if we do enter into a more challenging macro period? And then are you seeing renewal rates diverge based on either the customer cohort sizes or geographies?
Sudhakar Ramakrishna: No. As Bart mentioned, despite currency headwinds, we've been able to maintain or get to our 91% trailing 12-month renewal rates. My belief in talking to customers and looking at various partners is that, that will continue to sustain.
Operator: We'll go next to Erik Suppiger at JMP Securities.
Erik Suppiger: First off, Bart, you noted margin expansion in fiscal '23. Curious if you can give us any context in terms of what you would aspire for there. Then secondly, can you talk a little bit about what is going on with -- from an interest expense perspective as rates move up, how should we be modeling interest expense? And then lastly, Sudhakar, when you're talking about your partners, your global system integrators working with SolarWinds, when are they using SolarWinds as part of their portfolio versus other observability technologies?
Sudhakar Ramakrishna: Maybe I can address that first, Erik, and then Bart can chime in on the margin expansion. But I'll also highlight that we'll give a full view of 2023 when we report our Q4 results as well, including margin goals that we have established. And as I wrote -- as I mentioned in my prepared comments, expense discipline and margin expansion is a key near-term priority for us as we enter 2023.  Now coming to your questions, Erik, I would say it is -- it varies. We are engaged with a few very large and significant global system integrators at this point. At least in one or a couple of cases, their strategy and approach, given the comprehensiveness of our overall portfolio, especially now with both hybrid cloud observability and SaaS, is that we will increasingly become their sole observability vendor. That is at least their stated strategy. I can't go into a lot of details yet just because those have not yet been fully announced, but that is the path we are taking. So just like we are consolidating tools and reducing tool sprawl with our customers, we are also helping GSIs essentially consolidate different vendors' monitoring solutions onto a common platform that has the broadest applicability to customers as they . So that's kind of one approach.  The other approach in some of the system integrators is much more pointed, meaning that they will either take our database monitoring solution as the first solution into their customer or for that matter, our service management solution. So providing both an integrated platform as well as some of the more discrete solutions helps them pick and choose in that context. But increasingly, we are seeing their interest in the whole portfolio, given the advancements we have made in the last 18 months or so.
Barton Kalsu: And Erik, as far as our interest expense goes, we're in the process of trying to work on refinancing our debt. So it's a little difficult for me to tell you exactly what to say from a modeling perspective. Obviously, the recent spike in interest rates has caused our cash tax -- our cash interest to go up. I think it was around $14 million of interest that we paid in the first quarter. That number is up to about $24 million in the third quarter. And obviously, that was impacted by us paying down some of our debt in the third quarter. So when you're modeling it out, you should assume that somewhere in that, it will be in that $24 million range, maybe slightly less because we made a payment in the middle of the quarter.
Operator: Our next question comes from Bob Huang at Morgan Stanley.
Bob Huang: This is Bob filling in for Sanjit. Just a question on your observability product that you rolled out on AWS and Azure. Maybe can you talk about pricing in these products and in terms of how they stack up against competitors in terms of pricing?
Sudhakar Ramakrishna: Absolutely. So our goal is to continue to be a cost-effective solution, I would say, across the industry. So in that sense, we compare very favorably with our competition. It will be very difficult to provide like an exact apples-to-apples because we tend to package and sell more full stack capabilities. And that has, again, has the same connotation that I was highlighting on the hybrid cloud observability of tools consolidation and simplification of deployment environments.  So -- but on the other hand, I will reinforce that our pricing strategy continues to be not so much a price leader. In other words, I've mentioned this at our Analyst Day. We are not a cheap and cheerful company, so to speak, as much as we deliver serious business value at a compelling cost point -- or price point.
Operator: [Operator Instructions]. We'll go next to Kirk Materne at Evercore ISI.
Stewart Materne: Sudhakar, on the observability side, can you just talk about sort of the thought process about where the customers come from, meaning are these customers that are early on in the journey to the cloud? Are these potential customers that have started down the path with another vendor? I'm just trying to get a sense on how much of this opportunity for you all is going to be greenfield versus maybe replace, and how that might go over the long term?
Sudhakar Ramakrishna: Absolutely. So I'll give you kind of the trends that we have seen to date since the introduction of our hybrid cloud observability solution in April. And then I'll paint a picture on how to think about this as we get into 2023.  As it relates to hybrid cloud observability, I would segment the adoption of the solution in 2 ways. One is our existing customers who are on a maintenance arrangement, evolving and expanding with hybrid cloud observability for 2 reasons. One is the total and comprehensive functionality that we deliver to them as well as the on-ramp that we provide them to the cloud. So in other words, they can move to the cloud at the pace at which they are ready to move to. So that's one set of customers.  The second set of customers, which represent greenfield opportunities for us, are customers displacing, I would say, legacy monitoring solutions in favor of hybrid cloud observability, again for the reasons I mentioned: consolidation of tool sprawl, elimination of alert fatigue, and so on.  Now coming to the SaaS observability, which will again be a continuum of the hybrid cloud observability, I expect more of the customers in the initial phases to be, call it, our traditional application monitoring customers and largely speaking, in the mid-market, but evolving to the enterprise segment. But that's early days still, given that we just announced it 2 weeks ago.
Stewart Materne: Okay. That's very helpful. And then, Bart, you mentioned that the federal business did better this quarter. I guess is there anything specific going on there just in terms of normal buying patterns returning? And how should we think about that vertical as an opportunity?
Barton Kalsu: Yes. Just the federal space is always -- the third quarter is always our most active quarter when it comes to our federal business, just because that's the end of their fiscal year. That's always been the case. We also -- earlier in the year, we talked about -- we actually made a small acquisition of a company called Monalytic, which is a service provider to some federal customers of ours. So we've made a lot of investments in time with that customer base over the last 1.5 years or so, for obvious reasons. And so we continue to see opportunities, and we see that market expanding for us now that we're past the cyber incident.
Operator: And that does conclude our question-and-answer session. At this time, I'll turn the conference back over to management for any closing remarks.
Barton Kalsu: I think that concludes our call. Thanks, everybody.
Sudhakar Ramakrishna: Thank you all.
Operator: And that does conclude today's conference call. Thank you for your participation. You may now disconnect.